Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Zhihu Inc. Fourth Quarter and Full Year 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Today's conference is being recorded and webcasted. At this time, I would like to turn the conference over to Yolanda Liu, Director of Investor Relations. Please go ahead, ma'am.
Yolanda Liu: Thank you, Amberlynn. Hello, everyone. Welcome to Zhihu's fourth quarter and full year 2024 financial results conference call. Joining on the call today from the senior management team are Mr. Zhou Yuan, our Founder, Chairman and Chief Executive Officer; and Mr. Wang Han, our Chief Financial Officer. Before we get started, I'd like to remind you that today's discussion will include forward-looking statements made under the safe harbor provisions of the US Private Securities Litigation Reform Act of 1995. These statements involve inherent risks and uncertainties. As such, actual results may be materially different from the views expressed today. Full information regarding these and other risks and uncertainties is included in our public filings with the US Securities and Exchange Commission and the Hong Kong Stock Exchange. The company does not assume any obligation to update any forward-looking statements as required under the applicable law. Additionally, the discussion today will include both GAAP and non-GAAP financial measures for comparison purpose only. For a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures, please refer to our earnings release issued earlier today. In addition, a webcast replay of this conference call will be available on our IR website at ir.zhihu.com. Now, I will turn the call over to Mr. Wang Han, CFO of Zhihu. Han, please go ahead.
Wang Han: Thank you, Yolanda. Hello, everyone, and thank you for joining Zhihu's fourth quarter and full year 2024 earnings call. I'm pleased to deliver today's opening remarks on behalf of Mr. Zhou Yuan, Founder, Chairman and CEO of Zhihu. 2024 marked a transformative turnaround for Zhihu, where we successfully executed the strategic roadmap laid out at the first of the year and delivered results that far surpassed our expectations. The fourth quarter was a strong finish to 2024 with robust profitability. For the first time ever, we reported adjusted net income of RMB97.1 million compared to an adjusted net loss of RMB91.3 million in the same period of last year. Moreover, we swung from an adjusted net operating loss of RMB165.3 million in the fourth quarter last year to an adjusted operating profit of RMB23.1 million this quarter. The strategic decisions made at the beginning of 2024 combined with consistent quarter-after-quarter execution yielded significantly better-than-expected financial results this quarter, showcasing the strength of our strategic judgment and execution capabilities. By prioritizing community trust and enhancing the core user experience, we made a deliberate choice to forgo some peripheral users. This approach not only saved the community user acquisition related expenses by 88% year-over-year, which is one of the key drivers to profitability, it also resulted in notable growth in key engagement metrics, time span, retention and content creation, while maintaining a stable overall user base. AI represents a historic opportunity for Zhihu. As the AI landscape evolves, it is more and more clear that authentic, professional and in-depth content created by real individuals and most valuable assets to help AI overcoming hallucinations, and this is the most unique asset that Zhihu has been accumulated for 14 years. In essence, the Zhihu community is a dynamic network of real experts who continuously share knowledge, experiences and insights. Through rigorous community peer review, content is validated through discussions across diverse fields, driving the creation of high-quality and multi-dimensional content. Just two days ago, Zhida underwent another major upgrade. Users can now clearly see the contribution of our professional creators to each piece of Zhida's output. They can also proactively engage with specific Zhihu content creators who are real experts with certificated professional background within the community. Currently, Zhida has achieved over 10 million MAU on our app and PC platforms and continues to receive positive user feedback in key areas such as response completeness, accuracy and reduction of hallucinations. Going forward, we will continue enhancing our product in this direction, further strengthening the synergies between Zhida and Zhihu community, while reinforcing trust between users and creators through professional, authentic and in-depth content. Moving to our user and content. During the fourth quarter, we maintained our focus on improving user engagement, retention and acquisition efficiency. Average MAUs were 81.4 million, up 0.3% sequentially, a strong result given our strategic decision to decrease community-related promotional expenses by over 45% from Q3 and nearly 90% year-over-year. This focused approach delivered clear results during the quarter with improved user engagement. Time spent per DAU grew 23% year-over-year, while core user retention rates improved both sequentially and year-over-year. Throughout 2024, we comprehensively optimized our community ecosystem through product enhancements, refined content strategies and algorithm [adverts] (ph). This initiative has made high-quality content more discoverable and consumable, inspiring and motivating creators to produce their best work. As a result, we have witnessed the most insightful and dynamic discussions in various professional domains take place in our community, making us the go to platform for professional and in-depth discussions. Notably, our community has already become a center for AI-related topics long before engaging discussions sparked by DeepSeek's open source release of the R1 model and has continued to gain momentum since then. In the fourth quarter, both AI-related content volume and AI-focused creators grew more than 50% year-over-year. Our community of creators includes many leading entrepreneurs and industry pioneers who engage in multi-dimensional, professional and in-depth discussions with Wang Xingxing, CEO of Unitree Robotics, who has been an active contributor in Zhihu's community since 2016. In early March, we were honored to be selected by DeepSeek as exclusive Chinese content platforms to release the latest details and cost benefit analysis of their open source model. This demonstrates that we are the community with the highest concentration of AI professionals and entrepreneurs and the most important discussion hub for AI trends across the Internet. Users join our community for insightful discussions spanning diverse topics. For example, during the US President election cycle, our community generated more than 23,000 answers across nearly 200 questions, driving over 140 million page views of related content. We remain dedicated to discovering new high-quality content creators and supporting their growth through advanced creation tools and operational initiatives unique to our platform. This commitment ensures a dynamic creator base and a continuous flow of diverse, authentic and professional content. As of the end of Q4, cumulative content volume on our platform reached 874.6 million thesis, an increase of 12.9% year-over-year. This included 654.8 million Q&A entries, up 10.5% year-over-year. The Zhihu community is now home to 77.7 million content creators, up 8.9% year-over-year. The growing vibrancy of our content creators community is reflected in a growing daily activities of high-tier content creators. Income-generating creators increased substantially by over 22% year-over-year during the quarter with high-tier creators accounting for the most significant gains. The revenue share of [indiscernible] plan grew by nearly 20% between September and December 2024. During the quarter, we prioritized the onboarding of new high-tier creators. Notably, many broadcasters has demonstrated their ability to develop exceptional visual and reading content that drives strong user engagement with our community. Within 30 days of joining, these creators achieved a daily active rate of over 90% on an average. In late January 2025, Li Ziqi, the renowned short video creator celebrated for showcasing the beauty of Chinese culture, officially became Zhihu's Intangible Culture Heritage Officer. During the Chinese New Year holiday, her insights into the first World Intangible Culture Heritage Edition Spring Festival and detailed explanations of [Sichuan's] (ph) holiday costumes sparked widespread community discussions about regional traditions. As we continue optimizing the creators and user experiences and enhanced community atmosphere, negative user feedbacks has declined consistently, while positive engagement has increased. Average daily engagements per DAU rose consistently on a sequential basis throughout the year, with the fourth quarter's monthly average upward surging over 30% year-over-year. A healthy and consistent active community ecosystem remains our core assets, providing us with strong competitive advantages in AI era. Moving to commercialization. Since April 2024, we have prioritized the core user experience and community trustworthiness by actively managing the proportion of commercial content distributed and ensuring differentiated experiences for distinct user groups. This strategy has driven the ongoing optimization of our community ecosystem and enhanced the trustworthiness of our brand. While this approach has short-term trade-offs, including sunsetting lower-quality revenue streams, we're confident that the long-term value from strength and trust in our brand and improved health of our community will prove more impactful. Total revenues during the fourth quarter were RMB859.2 million, with revenues for full year 2024 came in at RMB3,598.9 million, a decrease of 14.3% from last year as a result of strategic adjustments away from lower-quality revenue. Diving into our performance by segment. For paid membership business, we focused on maximizing ROI in an environment of rising user acquisition costs and [channel] (ph) expenses. We drove an increase in ARPU of 7% sequentially during the quarter, while maintaining a relatively stable membership base. Average monthly paid members were 14.1 million during the quarter, a slight decrease of 0.8% year-over-year, while paid membership revenue were RMB420.2 million. Our leadership in premium short-form paid content strengthened as our Zhihu Yanyan Story brand continues to gain user market share. In December 2024, Zhihu Yanyan Story hosted the 2024 Short Story Impact Night in Bo'ao, Hainan Province, honoring 76 outstanding creators and stories. This event introduced new categories like fast audio drama and rookie creators of the year. For expanding the influence of Zhihu Yanyan creators across platforms and reinforcing our multimedia short-form content ecosystem. With an improved content supply and creator ecosystem, income-generating creators for paid members surged by 78.3% year-over-year during the fourth quarter. We also further unlocked the monetization potential of Yanyan Story's IP, driving a nearly 50% sequential increase in IP revenue during the fourth quarter. Going forward, we will continue leveraging the strength of our premium short form paid content to drive paid membership engagement, while exploring new diverse paid content formats and monetization opportunities. Turning to marketing services. In line with our company-wide focus on trust and quality, we're establishing a new baseline for marketing services revenue, which reached RMB315.9 million during the quarter. And currently, the rate of decline narrowed compared to the third quarter of 2024 with revenue growing 23.1% sequentially. Brand advertising was resilient, maintaining a stable performance despite the high base last year. Key clients increasingly recognize the premium value of our high-quality user base and brand equity. This is clearly seen by year-over-year increase in brand advertiser ARPU during 2024, with standout growth in sectors like e commerce, IT and 3C, beauty and personal care, FMCG and healthcare. We strengthened our presence in automotive sectors by hosting the first [indiscernible] Technology Conference in Chengdu, where we brought together key industry players like BYD, Changan, and XPeng alongside with our automotive expert network. The event facilitated in-depth professional [and impartial] (ph) discussions on EV trends and technologies, generating 630 million online impressions and 30 million video views. For CCS business, content optimization remains our central focus. We reduced low-quality commercial content by over 50% year-over-year and sequentially during the quarter, further enhancing advertisers' trustworthiness for users. This drove a 15% sequential decline in negative user feedback on commercial content. Looking to 2025, we will empower more emerging product categories, especially those with technological barriers to increase their market exposure and credibility leveraging our professional ecosystem and the trust of our high-value users. At the same time, we will deepen greater partnerships, enable them to monetize their expertise and maximize earnings through our platform. Lastly, our vocational training business where revenue decreased 50.4% year-over-year to RMB84 million during the quarter as we streamlined the acquired business. Our self-operated business maintained robust momentum, delivering double-digit growth year-over-year and achieving a turnaround in operating profitability. The strong increase in revenue from our self-operated business was driven by our strategic focus of high-performing focus -- high-performing courses categories like AGI and film post production, which remained highly popular during the quarter. Deep community integrations continues to foster a loyal user base with an extended lifecycle. Operating efficiency initiatives drove further ROI improvements during the quarter, with over 80% of our courses now delivering returns exceeding 2x, laying a clear path towards profitability for our vocational training business. The integration of [Advanced AI] (ph) is accelerating these gains in operating efficiency. During the quarter, AI drove conversion efficiency gains by 10% and reduced cost by 20% for our proprietary live streaming platform. We also piloted a new AI-driven sales model during the quarter, which is already making solid progress. For example, the customer service to user ratio for our proprietary writing course tripled when we compare it to the many processes we previously deployed. Going forward, our priorities include deeper integration of our vocational training business across our community, developing additional proprietary high-margin courses that address evolving user demand and fostering greater engagement. Simultaneously, we will expand the deployment of AI to enhance operational efficiency and accelerate our path to sustainable long-term profitability. In the fourth quarter of 2024, we not only drove a turnaround in both net income and operating profit, but also achieved a double-digit net margin, demonstrating our profitability potential. AI presents a historic opportunity for growth and our substantial cash reserves gives us the flexibility to invest in strategic initiatives that may involve short-term losses. We view these investments as crucial steps towards achieving long-term profitabilities and maximizing our competitive advantages in AI area. From an operational standpoint, we will focus on reinforcing the trust and credibility that underpin the Zhihu community and unlock the commercial opportunities by catering to evolving needs of high-value users and consumers. We believe this will solidify our unique position and competitive advantage in AI area as we continue to explore innovative AI applications that effectively leverage Zhihu's distinct strengths. This concludes Mr. Zhou Yuan's remarks. Now, I will review the details of our fourth quarter financials. For a complete overview of our fourth quarter 2024 results, please refer to our press release issued earlier today. The fourth quarter of 2024 was a true milestone for us, an inflection point that underscores our strategic focus and strong execution. For the first time, we achieved positive operating profit and net income on a both GAAP and non-GAAP basis, a clear testament to the strength of our approach and the momentum we have built. Total revenues for the quarter were RMB859.2 million compared with RMB1,138.3 million in the same period of 2023, reflecting our strategy to prioritize trust, quality and return on investment. Our revenue mix has become more diversified with paid membership and vocational training contributing over 62% of total revenues. Our marketing services revenue for the quarter was RMB315.9 million compared with RMB465.2 million in the same period of 2023. The decline was mainly driven by our proactive and continuous optimization of service offerings strategically aimed at enhancing margins. Paid membership revenue was RMB420.2 million compared with RMB455.9 million in the same period of 2023. While our average monthly subscribing members saw a slight year-over-year decline, our premium paid content continued to maintain high engagement rates, well, among paying users. While ARPU declined year-over-year, it grew 7.3% sequentially. Vocational training revenue was RMB84 million compared with RMB169.3 million in the same period of 2023. The decrease was primarily due to our strategic refinement of acquired business with a continued focus on prioritizing the fast-growing self-operated programs. Other revenues were RMB39.1 million compared with RMB48 million in the same period of 2023. Our gross profit for the fourth quarter was RMB540.7 million compared with RMB673.1 million in the same period of 2023. Driven by improved operational efficiency, our gross margin expanded further year-over-year, reaching 62.9%. Driven by disciplined cost management and in-house efficiency from technological innovation, our total operating expenses for the quarter declined by 37.9% year-over-year to RMB528.8 million. Selling and marketing expenses decreased by 40.1% to RMB316.2 million from RMB527.6 million in the same period of 2023. The decrease was primarily driven by more disciplined promotional spending and a decrease in personnel-related expenses. Research and development expenses decreased by 37% to RMB146.6 million from RMB232.6 million in the same period of 2023. The decrease was primarily attributable to more efficient spending on technological innovation. General and administrative expenses decreased by 27.5% to RMB66 million or RMB91.1 million in the same period of 2023. As of December 31, 2024, the company had cash and cash equivalents, term deposits, restricted cash and short-term investment of RMB4.9 billion compared with RMB5.5 billion as of December 31, 2023. Since our Hong Kong IPO up until December 31, 2024, we repurchased 31.1 million Class A ordinary shares for an aggregate value of US$66.5 million on the open market and subsequently canceled them. We also repurchased a total of 11.1 million Class A ordinary shares for an aggregate value of US$17.8 million to be utilized upon vesting of restricted shares in future. In addition, we repurchased another 33 million Class A ordinary shares for an aggregate value of US$38.5 million via tender offers, which we completed on November 08, 2024. In total, the company purchased 75.3 million Class A ordinary shares for an aggregate value of US$1.2 billion. Looking ahead to 2025, we will focus on continuously enhancing the trustworthiness of our community while strengthening our profitability fostering a mutually reinforcing journey of shareholder returns and enterprise value growth. This concludes my prepared remarks on our financial performance for this quarter. Let's turn the call over to the operator for the Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] We will now take our first question from the line of Xueqing Zhang from CICC. Please ask your question, Xueqing.
Xueqing Zhang: [Foreign Language] Thanks management for taking my question, and congratulations on the first profit quarter on both GAAP and non-GAAP basis. My question about Zhihu Zhida. Could management share your insights regarding the user size data of Zhihu Zhida? How does it benefit over our Zhihu community ecosystem? Additionally, from an industrial perspective, is there any concern that with the advancements in LLM inference capabilities, Zhihu could be replaced by AI? Thank you.
Zhou Yuan: [Foreign Language] [Interpreted] Thank you, Xueqing. This is from Zhihu CEO, Zhou Yuan. Thanks for your long time support for the company. So, I will just start by addressing your first question. Over the past six months, Zhida's user base data grow healthily, and the MAU have grown from the scale of about 1 million to 10 million. And we believe this strong organic growth has been driven by the high repeat visits and the positive word-of-mouth. [Foreign Language] [Interpreted] And to your second question on how Zhida benefits our overall community. So, Zhihu community has an irreplaceable and unique position over the whole Internet with this network of experts. This network is increasingly crucial, because the expansion of the AI-generated content and AI hallucination has made trustworthy content [indiscernible] demand. [Foreign Language] [Interpreted] Although many AI products have already existed today, they lack ability to genuinely connect with real people, especially experts. [Foreign Language] [Interpreted] And we believe this question may be answered in an alternative way. Zhihu Zhida latest, we have a very latest update, have perfectly addressed this need. And we can see now the PC platform fully rolled out and in our Zhihu app, it's already in the grayscale testing now. In this update, we've introduced two new ways to build these connections within the community through AI. Firstly, the inquiry of results of Zhihu Zhida can now directly be traced back to the actual community contributor. And secondly, you can directly ask/mention special contributor. This effectively turning every Zhihu expert into users' interaction personal knowledge base. [Foreign Language] [Interpreted] And we are very glad to see, lastly, Zhida received many positive feedbacks from our own country -- content creator, sorry. I just come across an excellent content this afternoon. This is from one of our content creator, [Scotty] (ph), who specialize in single-player games, painting and art topics. Scotty just mentioned, "If the pre update Zhihu Zhida was defined as an efficient AI search tool, then the post upgrade Zhida has now become a form of human-to-human connection." This is very in Zhihu style. And I will just quote from another Zhihu content creator. This creator said, "I used to think industry leaders were out of reach, but now with this ask feature, I can stand on the shoulders of giants. This Zhida update has truly take knowledge, accessibility to the extreme. So, I will just pause here a little bit, and you are all welcome to try it out more. [Foreign Language] [Interpreted] Now, just to address your third question is about whether AI could replace Zhihu. We believe, actually, it's [uncontrovertory] (ph). AI will significantly enhance Zhihu's development. [Foreign Language] [Interpreted] In an AI-driven era, we believe trustworthiness is paramount, making an expert network very essential. Zhihu has the strongest expert network available. [Foreign Language] [Interpreted] And second, Zhihu's expert network has attract pioneers from diverse industries who lead cut-edging transformations and industry evolutions. As they embrace and use new technologies, including AI technologies, they embody a seamless integration of human and AI capabilities. So, far from being replaced by AI, the value of the top-tier experts, for example, the top 10% with their respective industries will actually be amplified. As more and more experts join and engage with our community, our content ecosystem will become even more credible and trustworthy. [Foreign Language] [Interpreted] With the credibility and trust as our foundation, we can leverage AI to further improve the efficiency of high-quality content production and [dimensionation] (ph), attracting and serving an even wider range of users. Thank you. Thank you for your question.
Operator: Thank you. Our next question comes from the line of Thomas Chong from Jefferies. Please ask your question, Thomas.
Thomas Chong: [Foreign Language] Thanks management for taking my question. My question is also about AI. What other changes and innovation can we expect on the product side this year? Are there any new directions about AI integration? Thank you.
Zhou Yuan: [Foreign Language] [Interpreted] Thank you for your question, Thomas. This is from Zhihu CEO, Zhou Yuan. So, this year, our focus is on strengthening social interactions and enhancing our brand as a trusted content platform. We have already seen very encouraging developments since the start of this year. So, in the product environment direction, we have been developing social circles and new ideas suitable for the shorter-form and high-frequency content, and the columns and the podcast for longer-form content and the subscription plans. Establishing this as important values for community engagements and content consumption. [Foreign Language] [Interpreted] So, in terms of content branding, IP initiatives such as our [indiscernible] season will be key area of focus this year. We also plan to expand into more specialized verticals and introduce new original IPs, further strengthening our position as a trusted content brand, while creating new commercial opportunities. [Foreign Language] [Interpreted] So, in this era, we believe the influential experts, contributors and trusted content brands are most valuable than ever. This is where we stand out. We have a very clear cut advantage here, and our priority is to maximize the value of these assets. [Foreign Language] [Interpreted] So, I believe you're -- as you mentioned, you want to know more about our plan to better integrate AI with our entire community. So, our AI-related initiatives will take these questions to the next level, and we will advance on two fronts. First of all, the latest version of Zhihu Zhida, we have implemented completely new ways for AI to integrate with our community. We will continue deepening this integration to amplify the impact of our expert network. And second, AI will empower many of our community workflows, boosting the efficiency of high-quality content creation and distribution. [Foreign Language] [Interpreted] We believe this is a new beginning for us. In the era of AI, we are exploring and experimenting with many new possibilities. We believe that thanks to Zhihu's continuous accumulation of high-quality content, we're well positioned to better embrace this new era. Thank you.
Operator: Thank you. Our next question comes from the line of Daisy Chen from Haitong International. Please ask your question, Daisy.
Daisy Chen: [Foreign Language] Good evening, management, for taking my question. You just have mentioned that -- you just have talked about the AI and the large language model, how do you -- yeah, and the inference about the influence on the Zhihu community. My question is about how can the AI and large language model benefit Zhihu's online marketing product? Do you have any example or data case for us? Thank you.
Wang Han: [Foreign Language] [Interpreted] Thank you for your question, Daisy. This is from Zhihu CFO, Wang Han. AI is, changing the monetization model of advertising, and the most industry players are now staying in the exploration stage. But I can share some of our current thinking. [Foreign Language] [Interpreted] I don't know whether you may notice or not, what were one thing as the challenges for Zhihu in traditional Internet era has now become our biggest competitive advantage, and are in the most AI native way. [Foreign Language] [Interpreted] In the past, Zhihu has been recognized for its highly knowledgeable users and in-depth content features, which were maybe regarded as difficult to monetize in the traditional Internet paradigm, that prioritize high traffic and lengthy user engagement. And these may often favor entertainment-focused platforms. [Foreign Language] [Interpreted] However, in this era, in the AI era, this has completely reversed. And AI LLMs now prioritize the most high-quality answer generated by top-tier experts. [Foreign Language] [Interpreted] Consequently, traffic is increasing down towards the highest-quality content. I can give you an example here. For example, come -- this example comes from the chatbot. Many popular AI chatbot rely heavily on Zhihu's real expert-generated contents for their in-depth responses, attributing its considerable importance. [Foreign Language] [Interpreted] So, for advertisers, they are becoming increasingly focused on the content marketing and the brand's reputation management on our platform. Previously, the industry will also mentioned -- well, often mentioned on the SEO, search engine optimization. And today, this is shifting towards GEO, or generative engine optimization, to gain visible in AI-generated answers. So, if you aim to maximize business opportunities and monetization efficiency within AI-generated results, actively managing their content, you should actively managing your content on our platform. Thank you. Thank you for your question.
Operator: Thank you. Our next question comes from the line of Vicky Wei from Citi. Please ask your question, Vicky.
Vicky Wei: [Foreign Language] Thanks management for taking my question, and congrats on a very solid quarter. My question is regarding to the long-term margin profile. So, how should we think of the long term profitability of Zhihu? And how should we think of the 2025 margin outlook for this year? And how should we think of the cash utilization? Thank you.
Wang Han: [Foreign Language] [Interpreted] Thank you for your question, Vicky. This is from Zhihu's CFO, Wang Han. [Foreign Language] [Interpreted] This Q4, we achieved a profitability for the first time in our history with a double-digit non-GAAP net profit margin of 11%. [Foreign Language] [Interpreted] If we look broadly across the global landscape of the UGC platform, the user-generated content platform, we believe net margins typically range from 25% to 40% or even higher to 50%. This reflects the fundamental advantage of UGC platforms over maybe media platforms, which incur copyright related costs. [Foreign Language] [Interpreted] Looking ahead to our profitability outlook for 2025, we believe AI represents a historical opportunity for Zhihu. And also, given our strong cash position, we may chose, we may choose to maintain a slightly over overall loss, temporally to continue pursuing and capturing the potential opportunities arising from deeper integration between Zhihu and AI. [Foreign Language] [Interpreted] So, regarding cash utilization, although our market value has increased in recent months, it still remains significantly below our net cash position. At this clear undervalued stage, we will continue to conduct open market buybacks at appropriate times. In fact, looking back over the past period, we have been one of the US-listed Chinese companies with the highest share repurchase ratio. Yes. That's it. Thank you.
Yolanda Liu: This concludes our answers. Thank you.
Operator: Thank you. That concludes today's question-and-answer session. At this time, I'll turn the conference back to Yolanda for any additional or closing remarks.
Yolanda Liu: Thank you, operator, and thank you all again for joining us today. If you have any further questions, please contact our IR team directly or Christensen Advisory. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.